Operator: Good day and thank you for stopping by. Welcome to the Ivanhoe Mines Third Quarter 2024 Financial Results. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I’d like to hand the conference over to speaker today, Matthew Keevil, Director of Investment Relations. Please go ahead. Matthew, your line is on you.
Matthew Keevil: Thanks, Operator. Yeah, everybody. Thanks very much for joining us today. Our apologies. There was a slight technical glitch on the back end of the system. We will ask you today to refer to the slides that are posted to our website at www.ivanhoemines.com. You can click on Investors and you’ll see the deck there. If you could follow along with management on those slides, that would be great to just deal with this little bit of a technical glitch. We appreciate it very much and thanks for your patience. But welcome today. It’s my pleasure to welcome you to the Ivanhoe Mines’ third quarter 2024 financial results conference call. As the Operator mentioned, my name is Matthew Keevil and I’m the Director of Investor Relations and Corporate Communications with Ivanhoe Mines. On the line today from the company, we have Founder and Executive Co-Chairman, Robert Friedland; President, Marna Cloete; Chief Financial Officer, David van Heerden; Chief Operating Officer, Mark Farren; Executive Vice President, Project, Steve Amos; and Executive Vice President, Corporate Development and Investor Relations, Alex Pickard. We will be finishing today’s event with a question and answer session. You can submit a question using the Q&A box on the Webcast page, as well as through the conference operator via your phone line. If your question is not addressed, please do contact our Investor Relations team directly for follow-up and we’ll be happy to answer that question offline. Before you begin, I will point to Slide 2. We do have to remind everyone that today’s event will contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Details of the forward-looking statements are contained in today’s press release, as well as on SEDAR+ and at www.ivanhoemines.com. It is now my pleasure to introduce Ivanhoe Mines’ Founder and Executive Co-Chairman, Robert Friedland, for opening remarks. Please go ahead, Robert.
Robert Friedland: Well, greetings to everybody and we certainly apologize for the technical delays trying to get a global system that is reliable. I’m addressing you from Riyadh, Saudi Arabia, where we are at the Future Investment Initiative here in the Kingdom of Saudi Arabia. Our opening photograph shows my standing next to Marna and a lot of our key people and a team of international investors inside the actual furnace in our new smelter under construction. That visit was fantastic. For those of you that haven’t been to the Congo recently, the progress on site is stunning and remarkable. So I welcome you all to this session. You can walk through the slides with us as I turn this over to Marna, our President. Let’s go to the first slide with a picture of the smelter from a drone and off we go. Thank you, Marna.
Marna Cloete: Thank you, Robert. And welcome everybody to our third quarter financial results. It’s quite an impressive picture. You see that even more impressive when you drive around on site. And it’s quite exhausting to walk to the top of that building. When you look down, you can see quite a vista from that smelter. We’re looking forward to completing the smelter in December and then start with commissioning early next year. But really a magnificent project. I’m moving over to Slide #5 now, which is the highlights of our third quarter. We were really busy with the ramp up of our Phase 3 concentrator during this quarter. That will help us increase our annual capacity -- production capacity to 600,000 tons of copper. And we see ourselves probably producing slightly less than 600,000 tons of copper next year and then picking over the 600,000 tons of copper per annum in 2026 once we complete Project 95, which is our recovery project that Mark Farren will speak to a bit later in the school. We’ve had another record quarter. It feels like we say that every quarter, but it happens to be true in terms of production, as well as revenue at Kamoa-Kakula. And unfortunately, we had to reduce our guidance slightly and that was mainly due to the intermittent power that we experienced earlier in the year. We’ve really broken the back of our power problems. Some of the projects are longer term projects. So it will take time to sort of get to steady state power the way we would like to see it. But we’re currently importing about 65 megawatts of power. We’ve got 145 megawatts of backup power installed. That does have a cost impact. So we’re trying to be as green as possible and stay on grid as far as possible. And Mark will also speak a bit later during the school about our power initiative. Very exciting for us as a management team. And we’ve hosted a number of tours to the Western Forelands over the past quarter. It’s what we’re doing at the Western Forelands, really an exciting time. And we have indicated that we will put out a press release towards the end of the year with our plans for next year and give you a little bit of an update as to what we’ve seen at the Western Forelands. We added some additional land packages to the Western Forelands, another 336 square kilometers and we’ve also deployed two new rigs to the Western Forelands, bringing the total number of rigs drilling to 11. We will probably be able to drill a bit through the wet season because we’ve prepared the next batch of rigs where in our target area. If we move on to the next slide, Slide 6, health and safety. And it’s a continued area of focus for us. Unfortunately, we did experience a fatality due to a fall off ground during the quarter. I think a picture speaks a thousand words. You can see our workforce increased from 2021 to today. Currently, we sit with basically over close to 30,000 people working across our own mines. And our safety statistics are quite impressive compared to the industry average, but it’s never good enough when you do experience a fatality incident on the site. We’ve closed out the report. We’ve done retraining. We’ve implemented mitigating factors. But every time we experience these incidents, it’s sort of a reset back to zero. And it’s a collective effort to ensure that all our staff goes home safely every day. And moving over to the next slide, which is a picture of our first inaugural class at the Kamoa Centre of Excellence graduating earlier this year. It was quite a joyous occasion, as you can see. And I had the privilege of visiting the Centre of Excellence a couple of weeks ago together with an investor group where we were greeted by the new 38 students that really applied from across the Congo. We give preference to our communities and people that’s in our footprint area, but we really choose the best of the best in the country. And people as far as eager have applied to be accepted at the Kamoa Centre of Excellence. These students were in class for a two-month period and they came to the Centre of Excellence basically only speaking Swahili or French or Langala, and they presented in fluent English to us during this presentation. It was really a touching moment for me to see the impact that we are making at the Kamoa Centre of Excellence. So with that as an introduction, I will now hand over to David van Heerden, our Chief Financial Officer, to take you through our financial results and that starts on Slide 8. Over to you, David.
David van Heerden: Thank you, Marna. And good morning and good day to everybody joining the call today. As I move over to Slide 9, the increased production in the second quarter, which Marna already mentioned, translated to a record payable copper ton sold for the quarter and an 8% increase when compared to the second quarter of 2024. Because of the increase in tons sold, Kamoa-Kakula achieved record quarterly revenue of $828 million for Q3, even though the realized copper price decreased to $4.16 per pound for the quarter from $4.34 per pound the quarter before. And notwithstanding the fact that we had an increase in unsold copper stock in inventory at the end of Q3. On the next slide, with Kamoa-Kakula feeding lower grade materials into the Phase 3 concentrator during ramp up in the quarter, and considering the impact that had on total average grade, we are pretty happy that cash costs came out at $1.69 per pound of payable copper in the third quarter. I would add that the $0.17 quarter-on-quarter increase of that $0.08 was due to the increase in power cost when compared to the previous quarter, where our power needs needed to be supplemented by the use of diesel generators to keep the plant operational. Turning to Kamoa-Kakula’s quarterly EBITDA, as shown on the right-hand side of the screen, EBITDA for Q3 2024 was $470 million and that is Kamoa-Kakula’s second highest quarterly EBITDA on record. Due to the relatively low grade copper concentrate produced by the Phase 3 plant, when compared to Phase 1 and Phase 2 plants, Kamoa-Kakula total treated all Phase 3 concentrate into blister copper at the nearby Lualaba copper smelter to maximize profitability until the on-site smelter is completed. Where normally sales generally take place as soon as the trucks are loaded with the concentrate bags, total treating concentrate adds roughly 30 days to the timeline, as the sales are then only recognized when the blister produced by the Lualaba copper smelter is loaded until the off-tackers trucks. This increased our copper inventory on hand to 16,000 tons of copper at the end of September, impacting on our EBITDA for Q3. The EBITDA waterfall on the next slide nicely shows the drivers of the quarterly -- quarter-on-quarter EBITDA movements. Q3 EBITDA of course benefited from the increase in copper tons sold. This was however more than offset by the decrease in realized and provisional copper prices from the levels experienced in the previous quarter. Logistic charges for the quarter decreased from the levels early in the year, but as I mentioned when speaking about cash costs, power cost was notably higher for the quarter. Assuming equivalent tons, the impact of power on the above EBITDA waterfall was $18 million. And as one would expect, mining and processing for Phase 3 was more expensive in the quarter due to it being in ramp-up. Having said that, the EBITDA for Q3 would have been very close to the record EBITDA achieved in the second quarter had we sold all the copper we produced in the quarter. Even with the lower copper price in Q3. The next slide shows a snapshot of Ivanhoe’s consolidated results. I’m on Slide 12. Ivanhoe recognized a profit of $108 million and a normalized profit of $112 million in the third quarter of 2024, with normalized profit basically being flat quarter-on-quarter. With the last remaining portion of our convertible notes redeemed in Q3, there will be no difference between our profit and our normalized profit in future periods. As usual, our profit for now at least is driven mainly by the results from the Kamoa-Kakula joint venture, where our share of profit decreased slightly from the second quarter to this quarter of $84 million in Q3. Although, Kipushi commenced production late in the second quarter, sales of zinc concentrate only commenced in the fourth quarter. We will start to reflect on our results from the next time we have an earnings call. Looking at Ivanhoe’s adjusted EBITDA on the next slide, Slide 13. Given the environment in the quarter, we are happy with our adjusted EBITDA of $160 million in Q3. However, we continue to drive growth at each of our projects with the majority of the capital for the short-term growth initiatives already spent. So we expect our EBITDA will continue to grow in the upcoming quarters as we reap the rewards of our past investments. In the near-term, we expect that the increased production from Phase 3 at Kamoa a, as well as at Kipushi, will drive growth in our EBITDA. Then there is of course the smelter at Kamoa-Kakula, followed by Project 95 and revenue from Platreef, and we will of course not stop there. The next slide, Slide 14, shows our guidance for the year or capital guidance for the year. And we have been spending slightly ahead of schedule at Kamoa-Kakula, and we therefore expect to be close to the top of our 2024 spending range and that will mean that our 2025 would then be at the lower end. Spending at Platreef will be towards the lower end this year. We had cash and cash equivalents on hand at the end of September of $180 million and have added to our liquidity subsequent to quarter end. We recently closed a $75 million working capital facility, of which we have already drawn $40 million and are in the process of drawing the first $70 million of the Platreef senior debt facility, with the funds expected to hit our account in early November. We still have very little debt for a company of our size and strength and have a lot of flexibility and many options available to add gearing and we will continue to do so as needed. I will now hand over to Mark Farren and Alex Pickard for the latest updates on our operations.
Alex Pickard: Thank you, David, and good day to everybody on the line. It’s Alex Pickard here, EVP, Corporate Development and Investor Relations. I will take you through our production results at Phase 1 and 2, and then also the progress with Phase 3 that we’ve been making. What you can see on Slide 15 here is another fantastic image of the smelter construction site. I’ll leave Mark Farren, our COO, to talk about progress at the smelter. So I’ll skip now to Slide 16, looking at Kamoa-Kakula quarterly production. So given the ramp up of Phase 3, it follows that we had another record quarter, as Marna mentioned, in terms of both mill throughput and copper production with 116,000 tons of copper in concentrate. If we break that out now by the two phases, we milled about 2.2 million tons at Kakula at a grade of close to 5% and then just over 1 million tons at Kamoa or Phase 3 at a grade of 2.6%. At Kamoa in particular, we were feeding quite heavily from existing surface stockpiles at Phase 3, so about 40% of the total ore volume was coming from stockpiles and then the remainder is coming from run of mine. This will be a bit of a feature as we continue to ramp up the underground mining rate at Kamoa 1 and Kamoa 2 ore bodies that support the Phase 3 plant. The good news is that we do have a huge amount of flexibility in this regard. We’ve got, I think, 4.5 million tons of ore that’s been mined and paid for effectively, stockpiled on surface at a grade of approximately 3% copper across the complex. It’s obviously slightly higher grade at the cooler side and slightly lower grade at the Kamoa-Kansoko side. In terms of the concentrator, we are pleased to say that we achieved nameplate capacity just after the quarter end in early October. I’ll come back to that on the next slide. And Marna mentioned the revised guidance for the year, which we announced a few weeks ago, is now 425,000 tons to 450,000 tons of copper in concentrate. Just to give some context on that, in terms of the impact of intermittent power, particularly in the first half of the year, for the full year-to-date, we calculate that we lost approximately 36,000 tons of copper production to intermittent power and well over half of that was in the first quarter alone. But the good news is that going forward, I think the trajectory is very strong in terms of where we are today in order to catch up from the start of the year. And I think we are looking forward to Q4 to be a really strong quarter and hopefully another significant record. As we move into 2025, as Marna mentioned, we’re going to be pushing production volumes to get close towards the 600,000 tons and then 600,000 tons from 2026 and beyond. Moving to the next page, 17, just looking in a bit more detail at the Phase 3 concentrator ramp up. So we commissioned the concentrator in May. We had a pretty good quarter, but we achieved the nameplate capacity in early October, as I mentioned. Some real positives here in terms of what the concentrates shown in terms of its potential to mill significantly above the nameplate capacity. So the nameplate is 5 million tons per annum. We’ve achieved over 19,000 tons daily recently, which implies 30% over that design capacity. So one of the projects is to really try and lock in this optimized throughput over the next 12 months to 18 months with a deep bottlenecking program. For the month of October, the recoveries have been around 84%. The recoveries are hampered slightly just because we’re feeding all from the stockpiles, as I mentioned before, but we have seen numbers day-to-day at 86% or 87%. So we are well on track for design there. And then as David mentioned, and just to remind people, the concentrate that we produce at Phase 3 is slightly different from what we produce at Phase 1 and 2. Phase 3 is more chalcopyrite dominant, so the concentrate grade is in the sort of 30%. So what that means in terms of sales strategy is that we’ve been shipping all of that material to the Lualaba copper smelter for refining into blister copper to improve the economics. We will continue to do that until we start stockpiling concentrate in anticipation of the smelter commissioning. So that stockpiling will take place from early next year. Looking at the underground ramp up, and actually, what you can see in this picture is the ore handling system and the main belt that comes out of the Kamoa 1 and 2 box cuts and declines. So this is the exact same ore handling concept that we have at Kakula. It’s really the backbone of the underground production and the tons coming out going forward. The good news and very recent good news is that yesterday we actually tipped the first ore coming from this system. And so going forward, this will allow us to ramp up the mining rate and notably improve efficiency coming from underground. Currently, all the material from Kamoa 1 and Kamoa 2 has been trucked out of the box cuts. And then also, we will be looking to target improved grades towards 3% run of mine over time with this additional ore handling infrastructure. So that’s an update on Phase 3. I’ll pass over to Mark Farren now to talk a bit more about power on Page 18.
Mark Farren: Thanks, Alex. I’m going to cover power in five different areas and that should give a reasonable summary of where we are. So we took a decision about two and a half years ago to make sure that our power was totally derisked by adding the generating capacity on the mine. It’s expensive, but at the end of this year, this financial year, we’ll have about 220 megawatts of diesel generation on the footprint, which is enough to run Phase 1, Phase 2 and Phase 3 under any conditions. So basically, if you have a total blackout, you’ll be able to switch in and then run all three concentrators and all three mines. That decision, I think, was a good decision, but obviously, it’s not something we want to do going forward. Then inside the country, we’ve been working on a number of initiatives. The one is obviously the G25 [ph] unit at Inga to replace the unit and bring it to commission it, and then take that power and get it through all the way from Kinshasa into the system and into our mine. That’s 178 megawatts. That one will run in about May, commissioning in quarter one and full steady state, I’m thinking about May. Then along with that, we’ve identified and are executing a number of grid stability projects. They’re big projects, they’re not small projects. Some are at Inga, so there’s filter bank projects at Inga itself, and then at the local substation in Kolwezi. You’ve got a DC line that transmits all the power from Inga through this DC line into another switching station in Kolwezi. We’ve got a major project, which is to supply a very modern static compensator and install it. That will run by December next year. And in the interim, we’re using what you call synchronous compensators, which we have also in terms of our engineering and our project management, we are also maintaining and upgrading. So through the last year and through this year, we’ve been working on the network to derisk and to stabilize the network, to derisk the projects that we’re going forward with and to stabilize that network. In addition to this, imported power is very important for us, not so much for the Phase 1, Phase 2 and Phase 3, but for the further phases that are coming. So for us to grow into the next Phase 4, which we’ll talk about at the end, and potentially, not potentially, definitely, in the time coming to execute projects in the Western Forelands, we’re going to need more and more power as we go, as we grow our footprint. The import power short-term through the Zambian network, Zambian corridor, but some of the power generation comes all the way from Mozambique. Through that network and up to the mountain, we have got 665 megawatts at the moment and agreements that we’re working on to increase that in the short-term to 100 megawatts, and potentially 200 megawatts through next year. 200 megawatts, 215 watts -- megawatts are being offered and will be taken as we grow the footprint. We are also executing a project with one of the suppliers to do a dedicated line through the Zambian corridor, right up to the mining footprint. That’s an independent line that will take about two years, two and a half years to execute, and that will be an additional 350 megawatts. If you look at the long-term strategy, in terms of derisking power, it’s fixing the network here, the backup generation is in place, and we are working with wheeling companies and energy suppliers to help you get dedicated power as we grow the footprint. In addition to this, we’ve been studying solar for this year, right from the beginning of the year. We’re at a final bidding stage at the moment. We’re sitting with 11 bidders, each offering between 10 megawatts and 30 megawatts. We’ll probably end up taking two or three of these bids and going forward with executing some solar projects with storage. That will take place, I think, in the next 12 months to 18 months. We all expect to see some significant solar installations on the footprint and that can be grown incrementally over the next couple of years. I do believe that solar is another answer that we must pursue, in addition to the import power and the generation projects that we’re doing in the country. So, all in all, Alex, we have lost 36,000 tons of copper this year. It did influence a lot our forecast. I believe we put ourselves in a very good position going into next year, and like Marna says, we’re aiming in the high 500s and we have put enough work in place to be able to derisk this and make sure that we can actually get it. Obviously, we’re going to be running the smelter. I’ll talk about that again just now, but that’s also going to demand some power, but in what I’ve spoken about now, we’ve catered for that as well. Okay, the smelter. I’m going to ask Stephen just to talk a little bit about the smelter, where we are and the heat job, et cetera.
Steve Amos: Sure, Mark. So, things are going well. It says on the slide 94% complete, so we’re almost there. I’m busy with the last bit of piping and the electrical installation, and we are hoping by the end of this year to be mechanically complete. We’re on track for that. It’ll take us a few months to heat up, so Q1 2025 heat up and then first feed by the end of Q1 2025 and then we’re hoping for a fast ramp up there. So, big project. It’s been hard work, but it’s going very well.
Mark Farren: Thanks, Stephen. Okay, then the future. I mean, that’s what we’re here for as well. I think we’ve gone very fast in building this mine. Phase 1, Phase 2, Phase 3. They’ve been ahead of schedule. These concentrators are fantastic. They’re all, when you optimize them, it’s not going to be a 14 million ton mine, but you’re definitely hoping to get these three concentrators running at about 17 million tons, and I think it’ll be happening in the next two years or so. So, that’s where I think we’re going. Project 95 is in execution. It will be ready and running in Q1 2026, so that’s why I’m honored to say from the year 2026, we’ll be over the 600 mark. Those -- that implementation gives us about 30,000 tons to 40,000 tons of extra copper per year. And then Phase 4, if you think about the three projects taking us to 17-odd-million tons, it means Phase 3 is much bigger than the 5. So, Phase 3 we think is going to be about a 6.5 million eventually when we’ve done some debottlenecking. Again, in a year, in two years max, it won’t take two years. It’ll be less than two years to get that running. And then we’re actually working on what does Phase 4 look like, and we’ll come to the market, we’ll come to you guys by quarter one next year with a proper study, with a proper plan and we’re looking at how we’re going to sequence it, what are the next priorities, how do we do it with the current power constraints, how do we develop enough power in the area to do it. Chairman Chen, you would have seen, has a plan to get to a 1 million tons of copper. The next steps along the way to me, and I’m going to say, I think there’s another two steps here on Phase 3, Phase 4. I think there’s another two concentrators aside of Phase 3 and potentially getting us to not the 20 million tons, but probably 30 million eventually. 30 million will leave you, you can work it out yourself, but between 700,000 tons and 800,000 tons of copper for the next 40 years. So I think that’s where we’re going and that excludes the Western Forelands, which is very interesting, and Robert will talk about the Western Forelands as well. So the focus for now is to make sure we get the smelter commissioned properly, that we tap into the value of Phase 1, Phase 2, Phase 3. We get the recoveries up to where they need to be. We get our operating costs down. The smelter will have a massive influence on that. And then obviously the dependence on diesel. David did speak about $0.10 per pound is expensive to run diesel. So the work there is to actually de-risk copper power over the next couple of months, over the next year and then make sure that we earn our own right to grow by creating enough power sources and getting stability into the networks, designing the project as we always have, properly and responsibly, and making sure we execute like that. So, all in all, I think next year is going to be a great year. Going forward, we are doing a lot of work. We’re doing a lot of work to line up the next steps. So somewhere between what I’m saying and what Chairman Chen wants, I think that that’s our future. There’s another couple of steps that we’ll come to the market with those next steps by quarter one next year. Okay, we are on Western Forelands. I think Robert is speaking to the Western Forelands slide.
Robert Friedland: Yeah. this is Saudi Arabia coming back on here. So we’re in a world that desperately needs copper and in particular green copper, copper that is produced without the generation of global warming gas. We expect that copper to trade at a premium as we derisk the hydroelectricity in the country and we’ve not mentioned that Angola intends to export 2,800 megawatts or 2.8 gigawatts of excess hydropower to the DRC. That would be the final killer. That would be enough copper in this part of the world to produce 5 million tons a year or 10 million tons a year of copper. So we are limited more by the availability of stable hydroelectricity than we are by our ability to find more copper. We told the world we’re going to drill 70,000 meters in the Western Forelands this year. We’ve drilled over 63,000 of those, so we’ll definitely make that target. And we’re now up to 11 rigs turning. So it’s quite exciting to go out there by helicopter and land in that camp because Makoko is really the largest copper system found in the world in the last 10 years that is not Kamoa or Kakula. So there’s no exaggeration in the claim that the Western Forelands system is the best place in the world to find high-grade copper resources that can be mined in a green, safe and mechanized manner. And of course, the future of our company in large measure is also in the Western Forelands, which is wholly held by Ivanhoe Mines and a few minority pieces. This new piece of land that we acquired, we don’t -- sometimes think it’s really in our interest to say too much about what we’re doing in the Western Forelands, because some of this license acquisition is somewhat competitive, but this new piece of ground, which is almost as big as the joint venture area we have with Zijin Mining at Kamoa-Kakula, is in a very attractive exploration area based on our 20 years of experience in the Western Forelands. So we’re putting two rigs on that right now out of the 11 rigs and we’re drilling 24 hours a day, and we’ve made provision to drill through the wet season. South of us, the Zambezi River system has been experiencing drought. That’s putting a lot of pressure on some of the Zambian operators. They also have to import power to Zambia from Mozambique. So we’re hoping that it starts raining to build up the southern grid. The Congo watershed has had plenty of water. It’s a different watershed and so our hydropower is very well backed by the waters in the Congo River. We have a giant mining conference held here in Riyadh, Saudi Arabia yearly now. It’s the Future Minerals Forum. It’s been graced by top management from Rio Tinto, BHB, Tech Corporation is coming this year and others. So we look forward to that in early January. It’s a very good time for us to be talking about what we’ve been finding in the Western Forelands. We’ll have the entire mining industry there, a lot of state-owned actors and we also will be in a position to update the market about our sister company, Ivanhoe Electric, which has been drilling here in Saudi Arabia. So January is the start of the new year. It’s not far away. By then, we should be seeing our third phase -- Phase 3 concentrator running at full speed, and we really look forward to either an early or slightly late Christmas present for our shareholders when we tell you what we’ve been doing at the Western Forelands. But I’ll repeat, there is no place on this planet as attractive to find copper metal. A, the acquisition cost is incredibly low. If we look at the monies we’ve spent to find copper, it’s a penny or two a pound, finding costs for high-grade resources. And these high-grade resources are blessed because they’re in a region with hydroelectricity, no ice, no snow, no need to burn coal. It’s ridiculous to burn…
Mark Farren: Robert. We lost Robert.
Robert Friedland: … coal anywhere else because the hydroelectric power is coming to scale and the Lobito Corridor, sorry, am I back? Am I back?
Mark Farren: Yes. You’re back.
Marna Cloete: Yeah. You are back, Robert.
Robert Friedland: So the last comment to make is the Lobito Corridor is downhill. We’re at about 4,500 feet elevation at Kamoa-Kakula. So an electric train going west to the Atlantic Ocean will actually generate electricity going downhill to the ocean. So the Scope 3 emissions, once that railroad is up and running and we will use it next year, will even further place this copper complex as the greenest copper complex on planet Earth. And by the way, that also applies to Kipushi. So I’ll now turn this over to Alex or Mark to talk about the ramp-up of our Kipushi zinc, germanium, copper mine. Thank you.
Mark Farren: Thank you, Robert. Okay, Kipushi, I’m just going to touch on it. It was a mine that was obviously flooded for a long time. We dewatered it and we’ve built it now. It’s a fantastic, beautiful zinc mine. It’s a very high-grade zinc mine and we’ve got the concentrator running. I’m going to ask Steve to comment on how we battled a little bit with commissioning. But the underground mining is very, very good. We’ve got a lot of surface stockpiles. The mining conditions are fantastic and I invite anybody to come and have a look at a very modern, beautiful underground mine. Steve, just comment a little bit about how we battled in the beginning with the commissioning and then I’ll talk some more.
Steve Amos: Yeah. Sure. It wasn’t easy. Initially, we had some metallurgical stroke, mineralogical problems. We thought we were depressing pyrite. We were actually depressing zinc, so we weren’t floating anything. Anyway, fortunately, that’s behind us. We also had some issues with excess fines in the run of mine. So we sort of had to get our heads around how to cope with that, which is also behind us and a number of other odds and odds that crept up. I think the good news is we’re on the up now and things are going well. Our recoveries are well north of 90. Our congrave is very, very salable, well north of 50% zinc. And our plan is Q1 next year to reach nameplate. So definitely all the issues behind us and going from strength-to-strength.
Mark Farren: Yeah. Maybe just to close it off. So we did battle a bit with commissioning. It is running very nicely at the moment. There’s a couple of pumps and there’s a couple of areas within the plant that need to be upgraded. By quarter one next year, pretty much, we’ll be on what the feasibility number was and then you can see there on the last bullet, we’re aiming to go 20% above that. We will definitely go 20% above that. We know the infrastructure can do it. We’ve ordered the pumps. We’ve ordered the switchgear. It’s all up and it’s going to be going by quarter three next year, 20% plus and well north of what we planned in the feasibility study. So it’s a good project. It’s an exciting project. It’s going to have a very low cost because it’s a very high-grade mine. So by far the highest grade zinc mine in the world. We run it about 33%. The feed grade next year is 33% plan. And I think the average across the world is about 7%. So it’s a good -- it’s a small mine, but it’s a wonderful mine and a lot of good work has gone in there. And I invite anybody to come and have a look and see what a world-class mine looks like. Thank you. Alex, are you going to talk about Platreef?
Alex Pickard: Yeah. Thanks, Mark. I’ll close out the presentation. I’m looking at Slide #24, where you can see the impressive Shaft #2 headframe at Platreef. So in terms of Platreef, we’ve really discussed this before around the commissioning of the Phase 1 concentrator. We took the decision to defer that commissioning until later on in 2025 and the target of that was to focus instead our efforts on shaft development and the underground development ready for the Phase 2 expansion. In terms of that, we actually hit a significant milestone, I think it was this weekend on Saturday, where we hold the 5-meter diameter Shaft #3 from 950 meters underground. So we will now move to equipping that shaft to be ready for hoisting from early 2026 and that will take our total hoisting capacity from around 1 million tons today from Shaft #1 alone to about 5 million tons per annum. You can actually see that in the picture. It doesn’t look like much compared to the Shaft 2 headframe in the foreground, but where you see the blue crane in the background, that’s the top of the raised wall from 950 meters for Shaft #3. So once we have that shaft hoisting, that basically provides the platform to build the Phase 2 concentrator. And with the Phase 2 concentrator, that’s when we really get meaningful production scale and also cost benefits in terms of economies of scale at Platreef. We’re targeting roughly 400,000 ounces of PGM production, plus significant nickel and copper, just reminding that about 25% to 30% of the revenue basket at Platreef is coming from these base metals. At the same time, we are completing the initial raised floor within the larger Shaft 2 headgear that you see on the page and that will be completed this year. Shaft #2 is what drives the further expansion to 12 million tons of hoisting capacity and that unlocks the Phase 3 expansion and the potential to produce roughly a million ounces of PGMs. All of this work is being updated in a feasibility study that we’re working on now, together with a PEA or Scoping Study, which includes the expansion case and Phase 3. That study will be published early on next year. So with that, I will conclude the presentation and hand over to Matt Keevil to chair the Q&A.
Matthew Keevil: Thanks very much, Alex, and management. Yeah, we’ll move forward with the Q&A. As mentioned, you can insert a question into the text box on the webcast, as well as use the phone line. First and foremost, we’ll go to the phone line. Operator, could we please move over to those waiting on the phone and we’ll move through the phone questions, and then we will field any webcast questions. Thank you very much.
Operator: Sure. [Operator Instructions] Our first question will come from the line of Orest Wowkodaw from Scotiabank. Your line is open.
Orest Wowkodaw: Hi. Good morning. I realize your updated mine plan for Kamoa-Kakula will be out in a few months, but I’m wondering if you can give us, I guess, a sense of when you currently anticipate Phase 4 coming into the plan and whether we should anticipate that to be moved up from the previous plan, which I think had it around 2030.
Mark Farren: I can answer. I think it’s too early to give you an answer. We’re looking at different scenarios. At the timing, so I did speak about it last time, that we potentially will do the front end and start treating the old tailings to take out that additional 7% copper that’s sitting there, and then ramp up the workings, the underground resource and also we have some open pits, which we’re studying. So we ourselves don’t have a definitive answer of that exact timing, but there’s definitely a Phase 4. I did speak to you about the size. You can work around sizing it and sequencing probably two more plants over time. But most probably, we still need to internally make sure that we’re happy with the final profile. Alex, I don’t know if you want to add to that.
Alex Pickard: I would maybe just add, Mark, in terms of what we published in the last integrated plan. Orest, you correctly said, I think we had Phase 4 coming in 2029, 2030. I mean, I would view that as, let’s say, the longstop date. It certainly is not going to be any slower than that, much more likely to be accelerated.
Mark Farren: It’ll definitely be ahead of that.
Alex Pickard: Yeah.
Mark Farren: I agree.
Orest Wowkodaw: Okay. Perfect. And just to follow up as I could, I mean, obviously, a varied perspective in terms of the Western Forelands. I’m wondering from a strategy perspective from -- when you think the right timeline is to bring in a JV partner or do you want to proceed on 100% basis indefinitely?
Mark Farren: I think that’s a Robert question.
Marna Cloete: Yeah. Is Robert still on? Robert? Not hearing Robert…
Mark Farren: Robert.
Marna Cloete: … we get this question a lot. I think the landscape for Ivanhoe Mines has really changed and we don’t necessarily have to bring in a partner on the Western Forelands. If we do bring in a partner, it must be compelling. It must be a partner that would add something to Ivanhoe Mines, but we are definitely geared to go at it alone and we will most certainly not do a deal at the wrong time in the value cycle. So I think it’s sort of an open question if we will bring in a partner at the Western Forelands.
Orest Wowkodaw: Thanks, Marna.
Operator: Thank you. One moment for our next question. Our next question comes from Lawson Winder from Bank of America Securities. Your line is open.
Lawson Winder: Thanks very much, Operator, and good morning, Ivanhoe team. Thank you for the update today. Could I ask about Western Foreland, actually? And you mentioned that you’ve actually done some drilling and I think gotten some results at the Sakanama, and Lubudi targets. Are there any similarities to either of the existing Western Foreland mineralization that you would observe or share with us about Makoko or Kitoko or Kiala?
Mark Farren: David, you can take.
Robert Friedland: Yeah. Yeah. Mark, I’m back on here in Saudi Arabia. I want to…
Mark Farren: Carryon Robert.
Robert Friedland: I want to finish the previous remark about speculation about partners. I don’t think we want to tell you that we need a partner and I don’t want to tell you that we don’t need a partner. We don’t negotiate in the media and there’s really no worry. Nothing really turns on that question. We’re in a very strong financial position. We have no debt, and we’re going to tell you a lot more about the Western Forelands in January. We have a Board of Directors to consider what the right thing to do is, but it is the world’s preeminent exploration area. It could be divided into little pieces. It’s an enormous area. It doesn’t take a very big area to host an incredible amount of copper and metal, given the grades. And so let’s just ask the questioner to exercise a little bit of patience and we’ll file this under to be continued.
Lawson Winder: Thank you.
Operator: Thank you. One moment for our next question.
Matthew Keevil: Well, I think, Operator. Mark, if you had a quick question on geological similarities between the areas, if someone would like to field that one.
Mark Farren: Yeah. Both of those two are new. There is work going on on both of them, very new work. They’re all highly prospective, like Robert says. They’re very prospective. As we drill, it’s very exciting and that’s about all I can say. It’s just very new. There is focus there. We will develop this footprint over time, but there’s much more than one or two mines in that place.
Operator: Thank you. Our next question is from Andrew Mikitchook from BMO Capital Markets. Your line is open.
Andrew Mikitchook: Thank you. Maybe a question for David or someone else. What would be the trajectory or expectations for dividends coming back from Kamoa to Ivanhoe in the balance of this year or into next year?
David van Heerden: Yeah. Thanks. Thanks, Andrew. I’m happy to take that. And I think, firstly, I’d note that we are past our spending peak at Kamoa-Kakula, and then also that we are negotiating or drafting new anode offtake agreements. And those -- as those are being finalized, we do expect that they would include a sizable advance payment portion. That and then the increased cash generated by Kamoa’s operation will give us pretty nice flexibility to flow funds upwards. On your question, I think more specifically on our agreement with the DRC government is that we distribute 20% of our distributable accounting profit upwards as dividends. So we do expect that to occur in 2025. Just a clarification note on the 2024 dividends. So the dividends declared in 2024 has for now only been flowed up to Kamoa Holding and not all the way up to Ivanhoe Mines and Zijin. And that’s just to maximize flexibility for Kamoa and noting that, I mean, that might still be sent upwards if Kamoa has excess cash. So looking at the current forecast, we do expect 2024 dividends in 2025 to flow up all the way. And then if there’s cash flow generated exceeding Kamoa-Kakula’s operational requirements and what it needs for approved future growth then that excess cash will be utilized to start the repayment of shareholder loans under the current agreements in place. So, I know it’s not a definitive answer with an exact date, but I think that does give you a bit of a framework to make your own assumptions. Andrew?
Andrew Mikitchook: Okay. And if there’s time, could somebody just briefly comment on the scheduled drilling in South Africa on the licensed and neighboring Platreef in terms of timelines and what to expect, please?
Mark Farren: The Mokopane Feeder.
Andrew Mikitchook: Yes.
Mark Farren: So we bring -- at the moment, we’ve defined the target areas. There’s three of them. We’ve mobilized the drilling contractor and we’re engaging with the community. That process is almost finished. Patricia, what is her name, Patricia, right? Patricia is one of our VPs. She’s busy helping us with that and we believe that those holes will start being drilled in Q1 next year. Potentially this year, but I think Q1 next year.
Andrew Mikitchook: Perfect. Thank you very much. I’ll pass the microphone to the next questions.
Operator: One moment for our next question. Our next question will come from Carlos de Alba from MS. Your line is open.
Carlos de Alba: Thank you very much. Just a very quick question, maybe for Marna or Alex. You mentioned that in 2025, copper production is expected to be maybe slightly below or close to 600,000 tons. That could be a wide range or a wider range?
Marna Cloete: We’ve got a bit of an echo there. We will put out guidance towards the end of this year where we will give you a narrow range. We just wanted to guide you to the fact that it might be slightly below 600,000 tons for next year. Then we’ll definitely be 600,000 tons and above in 2026 once we’ve completed Project 95. But we will provide a more definitive number in due course.
Carlos de Alba: Fair enough. Thank you, Marna.
David van Heerden: Sorry, just to add, that guidance will be when we announce our Q4 production numbers. That will be the second week in January.
Operator: Thank you. One moment for our next question. Our next question comes from Daniel Major from UBS. Your line is open.
Daniel Major: Hi there. Yeah. Thanks for the questions. Few from my side. Yeah. The first one, your sales come a bit below production, the 16,000-ton building inventory this quarter. Would you expect a reverse in Q4 or carry into 2025? And then the second part of that question, what would be the expected concentrate inventory build during the smelter ramp-up? So what should we expect as a gap between production and sales in 2025?
David van Heerden: So, I think, for the quarter four, we’ll reverse it to concentrate sales and ahead of the smelter ramp-up, we’ll stop probably 30,000 tons of copper equivalent and that will halve as we ramp up the smelter. We think there will be a lock-up of about two weeks or 15,000 tons continually ahead of that smelter at steady state. We believe steady state will be quarter four. Quarter three, 75%. Quarter four, we’re hoping to get 100% capacity going and then lock up about two weeks of copper, 15,000-odd tons.
Daniel Major: Okay. So 15,000 tons over the full year.
David van Heerden: Next year. So this year, we’ll lock up the deficit and next year we’ll probably lock up about 15,000 tons roughly.
Daniel Major: Okay. Thanks. The second one, Alex, you mentioned, we’ll get the guidance update for the group with the 4Q production update. Okay, Robert, you mentioned around the resource update at Western Forelands. When should we be expecting that? Is that kind of with the production numbers or later in the quarter?
Robert Friedland: We’d like to make you…
Alex Pickard: Yeah.
Robert Friedland: We’d like to make you as nervous as possible. Christmas comes once a year. We might do it at Christmas. We might wait until we come to Saudi Arabia in January. We might wait for the BMO Conference in February. We’ll do it when we feel like doing it. We’d like to keep you on your toes. We don’t want to keep you fully satisfied.
Daniel Major: Okay. Fair enough. Thank you.
Robert Friedland: I mean, we have 11 rigs turning, man. Like, think about that. There’s nobody on planet Earth with 11 rigs turning in high-grade sedimentary copper. So I think that’s enough for now. We love you, though.
Daniel Major: Super. Thanks.
Robert Friedland: We love you, though. Don’t take it personally. It’s just good things take a little bit of time. Your mother taught you to be patient when you were a kid, so let’s just exercise a little bit of patience, and at the right time, we’ll have more to say. We just acquired some really important ground in the Western Foreland I want to emphasize that. Our understanding of the geology there is better than anybody on the planet, so we know what to acquire and getting ground in the Congo through the regulatory process and getting it properly licensed and bedded down, it’s not easy. It has to be done right, and then you have to build roads out there and infrastructure and camps, but we’d love you to come out there and take a look. I think you’ll really enjoy it. We just had an institutional tour and I can assure you it was extremely well-received, so come on out, and we’ll show you what we’re doing with your own eyes. We’d like that.
Daniel Major: Sounds good. Thanks.
Robert Friedland: Thank you.
Operator: Thank you. I’m not showing any further questions at this time. I would now like to turn it back over to Matthew Keevil for any further questions.
Matthew Keevil: Thank you, Operator, and thanks to all our analysts for the great questions. In light of time and our slightly delayed start, again, thank you so much for bearing with us and your patience. I think we’ll wrap the call up here for today. If there were any questions unaddressed, please do reach out to the IR team directly at www.ivanhoemines.com, and we’d be happy to answer them. Once again, thanks, everyone, for joining us and we look forward to providing some very exciting news as we move into the fourth quarter in 2025. Thanks, Operator.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect. Everyone have a great day.